Operator: Good afternoon, ladies and gentlemen. Thank you for joining Dropbox's First Quarter 2018 Earnings Conference Call. As a reminder this conference call is being recorded and will be available for replay from the Investor Relations section of Dropbox’s website following this call. I will now hand the call over to Darren Yip from Dropbox's Investor Relations team. Please go ahead.
Darren Yip: Thank you. Good afternoon and welcome to Dropbox’s first quarter 2018 earnings call. Today, Dropbox will discuss the quarterly financial results that were distributed earlier. Statements on this call include forward looking statements, including statements relating to the expected performance of our business, future financial results, strategy, long-term growth and overall future prospects. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call. In particular, those described in our risk factors included in our final prospectus for our initial public offering filed with the SEC on March 23, 2018, and the risk factors included in our Form 10-Q that will be filed by May 15, 2018. You should not rely on our forward looking statements as predictions of future events. All forward looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them except as required by applicable law. Our discussions today will include non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings release which was furnished with our Form 8-K filed today with the SEC and may also be found on our Investor Relations website at investors.dropbox.com. I would now like to turn the conference call over to Dropbox's Co-Founder and Chief Executive Officer, Drew Houston. Drew?
Drew Houston: Good afternoon, everyone, and welcome again to our earnings call. On the call with me are Dennis Woodside, our Chief Operating Officer; and Ajay Vashee, our Chief Financial Officer. I’ll touch on our business and product highlights and then Dennis will talk about our go-to-market approach and ecosystem and Ajay will review our Q1 financial results and provide guidance for Q2 and fiscal year 2018. To kick things off, since this is our first earnings call as a public company, I want to share some context on our history. We started Dropbox back in 2007 with the idea that life would be better if all of your most important information lives in the cloud. Our products spread virally and globally and as Dropbox reached hundreds of millions of people, our users brought Dropbox into millions of businesses. Along the way, we realized that what our customers really valued about Dropbox wasn't just the storage, but the share thing and collaboration. So, a few years ago we decided to tackle an even bigger challenge keeping teams in sync and connecting people to their most important information at work. And today, we’re one of the most widely adopted business software platforms in the world. We have over 500 million registered users and Dropbox is a place where millions of people and teams get their work done, a place where people come together and ideas come to life. Of our 11.5 million paying users, we estimate that approximately 80% use Dropbox for work. Our consumer roots have helped us pioneer a unique business model that combines the reality and scale of the consumer Internet business with the predictability and cash generation of our SaaS business. As a result, we were the fastest SaaS company to a $1 billion revenue run rate and we believe we have a long runway for growth. Today, we're focused on addressing the Content Collaboration market, a $50 billion plus opportunity according to IDC estimates and we're really excited about the road ahead. And we've made great progress tapping into that opportunity in Q1. This is a strong quarter for us, so it’s revenue growth of 28% year-over-year and meaningful free cash flow generation. And one of the drivers of our revenue growth this quarter was our success in increasing adoption of our premium plans. A year ago, we launched Dropbox Events which is a premium business plan built specifically for teams seeking more sophisticated, administrative, security and device management functionality. Advanced is offered at a higher price point relative to our standard business plan. And late last year, we also introduced Dropbox Professional which is a premium and individual plan that includes extended file recovery, advanced sharing control features and a new product called Dropbox Showcase. Showcase, as users present their work to clients and business partners through a customizable professionally branded webpage. And Professional is also offered at a higher price point relative to our plus individual plan. These new plans increase the value we deliver to our users, creating a richer sharing and collaboration experience and more people are subscribing to them. And as a result we saw an increase in average revenue increases in Q1. In addition to premium subscription plans, enhancing products like Dropbox Paper is an important focus for us. Launched early 2017 to GA, Paper is a collaborative workspace for teams and it's off to a great start. Dropbox users have created millions of paper docs in more than 20 languages around the world. We do paper as an important part of our platform that drives higher engagement and retention. We recently rolled out several updates to paper, including a completely redesigned paper mobile app and our revamped paper mobile editor makes key editing features easier to discover and use on the go. In addition, the mobile app facilitates task creation, including assigning to dues and setting due dates. We also completely redesigned the paper iPad app for a more optimized experience. Updates like these have helped paper drive improvements in monetization for Dropbox business team trials. In particular, teams with at least one paper user converts to a paid subscription at approximately twice the rate of those without paper usage and those teams also have a 25% higher net retention rate. We're constantly working to add new tools and functionality to Dropbox Paper, and Dropbox more broadly, so our users can get their best work done. So, we'll continue to innovate to improve our platform and deliver more and more value to our users. And now, to talk to our go-to-market approach and ecosystem, I'd like to turn the call over to Dennis, our COO.
Dennis Woodside: Thanks Drew. As Drew mentioned earlier, Dropbox has a unique go-to-market approach. Underlying this approach is a robust self-serve engine that helps us efficiently land inside an organization. In fact, 90% of our revenue comes from self-serve users, who may never talk to a sales person. Our large user base provides us access to hundreds of millions of actively connected devices and proprietary messaging services, and we leverage machine learning and data science to determine what messages to deliver to which prospects in order to drive conversion. We complement our self-serve engine with the targeted outbound sales motion to drive the expansion within organizations. Before we make a single sales call, we may see a number of basic accounts, many individual subscribers and several paid teams deployed within an organization. We prioritize which accounts to target by utilizing a priori, our machine learning tool that notifies the sales rep to reach out to a prospect based on signals such as free and paid usage and sharing frequency. Our sales cycles are short and predictable, and we don't need to rip and replace as we can often tap into departmental budgets which makes decision making easier and faster. In Q1, we continued to make improvements to our data science models to further optimize our growth engine. For example, by applying analytics to certain segments of users who chose to churn or downsell, we were able to deploy customized promotions to win them back. In addition, by analyzing multiple factors related to resell our performance, we were able to build a predictive model to determine reseller’s success rates in selling to new customers. With this model, we can optimize the reseller channel by better targeting new partners. An example of our efficient land and expand approach from Q1 at WeWork. The shared office space provider has grown its Dropbox deployment 200% since Q3 of 2017, recently expanding its subscription to our platform by an additional 500 users. Since starting as a 30-user self-serve account within the company’s digital team in 2015, Dropbox usage at WeWork has expanded alongside, the rapidly growing company to groups like brand marketing, design and real estate services. Teams that all consider Dropbox critical to important collaboration workflows. WeWork has also adopted paper within its design, digital and IT teams. Another example of a customer that followed a similar land and expand approach is 2U. A rapidly growing EdTech company, 2U Partners with Top Tier universities to power their online graduate degree programs and short courses. They have been using Dropbox since 2011, when they started as a small self-serve team and have consistently scaled their account as they’ve grown. So far this year, they’ve increased their deployments in nearly 2,000 total licenses. Dropbox is a key part of 2U’s technology stack, integrating seamlessly with its existing tools and serving as a primary tool for FSS and collaboration, particularly for users in design and sales. We’ve also seen success in expanding international deployments including at one of the world’s largest advertising agencies based in Japan. Beginning with 16 users in 2012, this customer has steadily grown its Dropbox business deployment and surpass 6,000 paying users in Q1. The company uses Dropbox to securely share files and collaborate with colleagues and clients around the world and has achieved significant time and cost savings and increased productivity with achieved significant time and cost savings and increased productivity with Dropbox. In Q1, we also continued to expand our open ecosystem. We find that many of our customers struggle with content and application fragmentation and the resulting challenge in stitching everything together. Dropbox integrates with just about any tool a team might be using which is critical to our vision of becoming a single unified home for team content and the collaboration around it. As of the end of 2017, we have more than 500,000 developers on our platform and we're receiving over 50 billion API calls per month. And in Q1, we kept that momentum going with some key partnership announcements. First, we announced a strategic partnership with Salesforce that connects the number one CRM platform with Dropbox enabling businesses of all types to collaborate and more deeply connect with their customers across sales, service, marketing, commerce and more. The partnership will include an integration with Salesforce’s commerce cloud and marketing cloud to allow users to create branded customized Dropbox folders that can be accessed by both internal teams and external partners. With two-way workflows, content will stay relevant and up-to-date whether a user is working in Dropbox or Salesforce. In addition, an integration with Quip will allow users to access Dropbox content directly within Quip. Dropbox will also have support for Quip documents allowing joint users to work on Quip files that live in Dropbox furthering Dropbox’s effort to build a unified home for work. Additionally, we announced a partnership with Google Cloud. Working with Google, we plan to develop a series of cross-platform integrations that connect G Suite cloud productivity tools and content with our global collaboration platform. As a result, users will be able to more easily organize, create, open and edit Google docs, sheets and files from within Dropbox and Dropbox business administrators will be able to more easily manage these files. In Q1, we also announced that we were expanding our partnership with Adobe. Together, we're introducing a new Adobe Creative Cloud integration that allows users to share and preview XD files from Dropbox streamlining design collaboration without disrupting users’ workflows. Finally, while we have universal appeal for companies of all sizes and in all industries, we're also focused on advancing industry specific integrations across a number of key verticals. Last year teams working in the architecture engineering and construction industries created and saved more than a 0.25 billion files in Dropbox. That translates to roughly 25 million files per month or 8,000 files per day. To better support these teams and their end to end workflows, we announced a number of integrations in Q1 with companies like Aconex, BulldozAIR, Fieldwire, and PlanGrid. In summary, we're really pleased with the progress we're making and our recent customer wins and partnership announcements helped validate that Dropbox is becoming the preferred platform for collaboration across companies of all sizes and industries. With paying Dropbox business teams in over 50% of the Fortune 500 and paying users in over 90%. We believe we have universal appeal and a long run way to keep expanding our footprint. We look forward to keeping you posted on our progress in 2018. And then now I'll turn it over to Ajay, our CFO to walk through our financial results.
Ajay Vashee: Thank you, Dennis. Our Q1 results continue to demonstrate our strong execution and focus on delivering top line growth and free cash flow generation. Total revenue for the quarter was up 28% year-over-year to $316 million driven by an increase in total paying users - and in total paying users and average revenue per paying user. We ended Q1 with 11.5 million paying users with the majority of growth primarily driven through our self-serve channels. We also saw healthy uptake of our premium professional and advanced plans which helped to increase ARPU to a $114.30. Looking ahead, while we’re focused on continuing to deliver more value to our users and are increasing adoption of our premium plans, there may be some quarterly variation in ARPU from a variety of factors such as monthly annual subscriber mix, plan mix, negotiated pricing and changes in FX rates. Before I move on, I want to note that unless otherwise indicated, all income statement measures that follow are non-GAAP and excludes stock-based compensation and employer related taxes on the release of our two-tier RSUs at IPO, which I'll discuss shortly. A reconciliation of GAAP to non-GAAP results may be found in our earnings release which was furnished with our Form 8-K filed today with the SEC and on our investor relations website. Gross margin for the quarter was 74%, an increase of 11 percentage points compared to the first quarter of 2017. Gross margin expanded due to a continued focus on unit costs and utilization efficiencies as well as a change in the useful life of certain hardware. Since migrating to our own infrastructure, we've implemented a number of software improvements that have allowed us to extend the useful life of certain equipment from three years to four years. As a result, our cost of revenue included a $6 million benefit in Q1. With the majority of the full-year benefit expected to be realized in the first half of 2018, we expect gross margins to be roughly consistent with Q1 for the remainder of the year. Moving to operating expenses. First quarter R&D expense was $87 million or 28% of revenue compared to 27% in Q1 a year ago. The increase as a percentage of revenue was primarily driven by higher headcount as we continue to invest in new products experiences to broaden the value of our platform. S&M expense was $82 million in the first quarter or 26% of revenue compared to 24% in Q1 a year ago. The year-over-year increase was primarily driven by a new brand campaign that was launched in late 2017 and continued into Q1. The goal for the campaign is to extend Dropbox as appeal to a wider target audience and position Dropbox as a platform that helps teams find focus, standard flow and unleash their creative energy. G&A expense was $30 million or 10% of revenue and consistent with the prior year. As headcount and other expenses grew in line with revenue. Taken together we are in $34 million in operating profit in the first quarter. This translates to an 11% operating margin which is a 9 percentage point improvement from Q1 of 2017. Net income for the quarter was $31 million up from $5 million a year ago. Diluted as was $0.08 per share up from $0.02 per share in Q1 2017 based on $373 million diluted weighted average shares outstanding as of Q1. This share count reflects the reverse stock split at the time of our IPO shares issued in our IPO, time weighting of preferred stock across the duration of the quarter and treasury stock method calculations. I want to spend a moment covering the major items excluded from our non-GAAP financials as a result of our IPO in the quarter. In Q1, we incurred $487 million in stock-based compensation expense and $14 million in employer payroll tax expenses which were excluded from our non-GAAP results. Between 2011 and 2015, we granted two TRRs use to employees. These awards had both a service-based vesting condition and the liquidity event related performance condition. The liquidity event related performance condition was met upon our IPO. We therefore recognized $419 million in previously unrecognized stock based compensation expense for two-tier RSUs for which the service based vesting condition was already satisfied in the first quarter of 2018. This $419 million and a separate $10 million charge from modifying our RSUs to enable vesting once per quarter are included in our total stock based compensation expense of $487 million. In addition we released 27 million shares of common stock underlying the best at two-tier RSUs during the quarter. And as a result recorded $14 million in employer payroll tax expenses associated with these same awards. Moving on to cash balance and cash flow, we ended Q1 with cash and short term investments of $846 million which includes the net proceeds from our IPO but excludes the $108 million of net proceeds from the exercise of our underwriter overallotment option which was completed in April. Cash flow from operations was $62 million in the quarter. Capital expenditures were $10 million yielding free cash flow of $52 million or 16% of revenue. Q1 is typically a seasonal low point for free cash flow as it includes our annual cash bonus payments. In addition the employer tax payment related to the two-tier RSU release I previously mentioned was $14 million in the quarter. CapEx in Q1 included $600,000 of spend on our new headquarters, net of tenant improvement allowances received. As a reminder at the end of 2017, we entered into a lease to move to our new San Francisco headquarters which will be completed over approximately the next two years. We expect total CapEx related to the build out of our new headquarters net of tenant improvement allowances received to be approximately CapEx related to the buildout of our new headquarters net of tenant improvement allowances received to be approximately $35 million to $40 million in 2018. In Q1, we had $26 million of additions to our capital lease lines for data center equipment. We generally expect additions to capital lease finds to be high-single digits as a percentage of revenue this year. Turning to our guidance. For the second quarter of 2018, we expect revenue to be in the range of $328 million to $331 million, non-GAAP operating margin to be in the range of 9% to 10% and diluted weighted average shares outstanding to be in the range of $422 million to $427 million based on our trailing 30-day average share price. For the full-year 2018, we expect revenue to be in the range of $1.343 billion to $1.355 billion, non-GAAP operating margin to be in the range of 9% to 10% and free cash flow to be in the range of $340 million to $350 million. This figure includes one-time spend related to the buildout of our new corporate headquarters. We expect 2018 fully diluted weighted average shares outstanding to be in the range of 410 million to 415 million shares based on our trailing 30-day average share price. I'll now turn it back to Drew for closing remarks.
Drew Houston: All right, thank you, Ajay. In closing, we had a great quarter. Our results continue to demonstrate the strength of our platform, our efficient go-to-market strategy and our financial discipline. We're operating in a scale that few SaaS companies have been able to achieve and we're delivering a healthy balance of growth and free cash flow generation and we feel we’ve built something really unique. We're pioneering in new model for business software and we're incredibly well-positioned in a large and growing market. So, on behalf of our management team, I'd like to take a moment to thank our customers, partners and the entire Dropbox team for getting us to where we are today. So with that, I'd like to open up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Mark Murphy with JPMorgan.
Mark Murphy: Ajay, I wanted to ask you about the billings growth, which accelerated and I believe it was above any of the prior four quarters. What was it that might have driven the strength in the deferred revenue growth, and therefore the billings growth? For instance, was there any material impact from billing terms, contract terms, FX or anything else that we should be aware of?
Ajay Vashee: I would say the high level billings for us are related to revenue growth, but not as predictive of revenue as one may think. And so, in Q1, our billings benefited from a prepayment from one of our partner resellers, as well as a bit of an FX tailwind as billings are more sensitive to movements in FX relative to revenue given how our business model works. And in a given quarter, there can be various items that can drive billings growth higher or lower that don't consistently correlate to revenue. For example, additions to our deferred revenue balance are highly sensitive to the mix between monthly and annual subscribers and small changes in mixed shift in a given period, can skew deferred revenue resulting in deviations between billings and revenue. So I’d say our revenue guidance reflects the growth that we expect based on current visibility.
Mark Murphy: And as a quick follow-up for Drew. Dropbox is one of the very few exabyte scale of cloud platforms that we’re aware of. Wondering if you could walk us through what you’re giving, Andrew or maybe Dennis could comment on this to leverage that amount of data that you have as you’re applying Data Science and trying to understand the user behaviors, identify trends and developing new products. Can just walk us through maybe what you’re working on to try to leverage it?
Drew Houston: So we think, our focus on content is a big strength, when we think about the collaboration and category. And so, when it comes to how do we use that content and leverage it, our ecosystem is a great example of that. Because we see that so many workflows in a company revolve around content. So it’s a way for us to drive engagement through some of the most important workflows in the business. And so there’s a lot we do on that front and some of our partnerships are a good example of that. Now AI and machine learning are another really promising areas and an area where we’re investing in. And some of which - or some of the investments you can see in the product today, whether that’s our doc scanner as an example, where you can take a picture of this piece of paper and searchable PDF and deep learning and a lot of the this, machine vision technology is an important part of that. More broadly, we see a big opportunity to help people find the information that’s really important to them, and I think verbs like finding what you’re looking for or tasks like that or help me organize stuff or help me cut through the clutter and see only the things are important, machine intelligence is going to be pivotal cut through the clutter and see only the things that are important, machine intelligence is going to be pivotal to making that happen. And some of our early efforts in search and ranking and relevance and so on and ranking and our activity feeds are an early example of that, but I think we're going to able to go much deeper here and the fact that people will put an exabyte of content or 400 billion files and other pieces of content in Dropbox is a huge advantage for us.
Operator: Our next question comes from Heather Bellini with Goldman Sachs.
Heather Bellini: I have two questions. One, Drew, I was wondering how do you see the collaboration market evolving and from an R&D pipeline perspective, how do we think about the priorities to expand into apps that leverage your core Dropbox infrastructure? And then, I just had a follow-up
Drew Houston: So, we start with our users and when we look at the overall experience of using technology at work, maybe putting it nicely, there's a lot of room for improvement. And so, for example, there's a ton of friction that arises because people - we have all these new tools that are coming along, but the old tools are also still here. So, there's this fragmentation of the experience, and so often we find that our customers turn to us as the cloud to keep their clouds or their ecosystems in sync. And so, that's kind of a new problem and we think we're uniquely positioned to do that really well and our partnerships are an important part of that with folks like Microsoft and Google and the hundreds of thousands of developers on our platform. So, we see a big need to tie all these things together given that proliferation of tools, and then we see an opportunity to do things a little bit differently. So, a lot of the office suites were really designed kind of a generation ago and we can take advantage of the fact that we're designed for 2018. And so what does that mean? Well Dropbox Paper is an example of this because we think that a lot of the problem - the friction that arises from having all these different tools could be fixed if you build a more integrated experience. And so we see that there are - we watches our users toggle between all these different apps to get work done. So if you're working on a PowerPoint at one place and you want to talk about it Slacker and email, or you want to respond to a ticket or a task, you're constantly toggling between different apps. And so we looked at that and where we thought here's an opportunity to bring the content with Dropbox Paper to bring all the content into one place, all the conversations around it in one place, and increasingly things like coordination and task management, the ability to manage a project from one place within Paper. But when you look at it, we’re kind of drawing outside the conventional boundaries of these categories and integrating things that have been separate. So there’s a lot more I could say on either those fronts, but we certainly see an opportunity to make to rein in some of the chaos that's resulted from this proliferation of cloud tools.
Heather Bellini: And then just to follow up with the - you had mentioned some data points on Paper and Showcase adoption, and I've been wondering if - have you been able to measure how this might be impacting, how adoption of those products might be impacting churn as well as the potential that you’ve seen for this to engage, actually help you exceed expansion at existing accounts?
Drew Houston: So products like Paper and Showcase are relatively new, so our primary focus is on getting the experience, right, and we want to do that. And so we want to scale up gently and make sure that. Certainly our scale is a big asset when it comes to driving distribution of our new products but we want to drive sustainable retained growth. And there are some really promising signs so one thing we shared is that among Dropbox business, the team trials folks that use paper, both convert at twice the rate and they also retain 25% higher. So for sure as we add functionality to products, people are more engaged with it, in many ways that by definition, it reduces churn because we're increasing retention and engagement. So, we take a blended approach to that.
Operator: Our next question comes from John DiFucci with Jefferies.
John DiFucci: And I express my congrats to on your first quarter out of blocks here. I think my question is probably for Dennis or maybe Drew. I think ARPU growth of about 3% at least that we calculated, looks good it’s a mere, I think you saw somewhere in the 2% to 4% last year. You mentioned the price uplift I think Drew did as a positive influence to ARPU in your prepared remarks. I was wondering if you can give any specific or even subjective commentary on user behavior when they're renewing at this point, anything like the portion that are choosing the higher function, higher price SKUs over going back to the more standard SKUs?
Drew Houston: So, I can start and Dennis can share more about the specific adoption of some of our higher tier plans. But we see we certainly see the biggest levers to drive modernization as growing the subscriber base and then driving ARPU uplift. And so that happens - it was a ARPU uplift that happens in a couple ways. So first is, people moving from individual subscription at work to having the business version of Dropbox, at the higher price plan, so the mix shift is something that we focus on and getting people set up properly and in teams and in adopting the business version of Dropbox as opposed to just a mix of free and paid use. And then for sure one of the more recent levers, we're again - promising early signs but it takes a while for it to fully flow through is the introduction of our higher tier plans both on the individual front and business front. And so we see some early uplift there too.
Dennis Woodside: So just a little bit of context on our plans. We introduced our advanced plan, a little over a year ago and we introduced our professional plan just in Q4 of last year. So both plans are relatively new in market and remember we gave our users of our business plans a year to experience the benefits of the advanced plan before they had to make a decision as to whether to stay with the advanced plan or to move to standard plan. And advanced plan had a 50% price premium to our standard plan. We're seeing very good conversion to or maintenance of the advanced plan among those users. We're happy with where that is although we're not releasing any specific numbers and the features that are in the advanced plan things like audit logs, tiered admin roles, and single sign-on and those are appropriate for really any meaningful team deployments because most teams that are using Dropbox as a business tool are going to want to use those sorts of integration. So we're seeing good take rates, you see that reflected in the overall ARPU numbers and we're pretty happy with how that's going so far.
John DiFucci: And if I may, just for a clarification, Dennis, was it at the beginning of this year when the advanced users had to make that decision once they start renewing? Is it…
Dennis Woodside: That’s correct.
John DiFucci: …what that was cut off January 1?
Dennis Woodside: It was a little bit later than that. It was in Q1. And around February, beginning of February, yes.
Operator: Our next question comes from Alex Zukin with Piper Jaffray.
Alex Zukin: Thanks for taking the question, and again I echo the congratulations mentioned earlier in the call. You talked about some very interesting new partnerships with Salesforce and Adobe. I want to ask how you’re thinking about partner influence sales or any other metric that you’re tracking to assess the impact of these statutory programs?
Drew Houston: I can start and Dennis can add to it. And thanks, Alex. So, some of these, you look at the Salesforce and Google partnerships both were in Q1, so still pretty early days. But there are examples of with the Salesforce relationship, that’s an example of looking at our customer base and realizing that we in Salesforce, share a large number of customers and workflows like CRM revolve around content when you think about sales people sharing collaterals, prospects and so on. And so when you look at, there are a lot of different potential dimensions that partnership and things that we’re excited about. We’re focused first on building great product experience, so for people to use both Dropbox and Salesforce making sure that those integrations are really good. And then, there’s a ton of opportunity in other areas, so a joint go-to-market. And you look at the Salesforces’ customer base and you look at Dropbox’s customer base, they’re complimentary in a number of ways. And so, I mean that’s something that will happen over time. But, that’s one of the options - that’s an example of the kind of opportunity in these partnerships that we’re excited about.
Dennis Woodside: So you know with respect to partner influence sales, the way we're thinking about things now is that we know that teams that use at least one integration renew at higher rates and expand at higher rates simply because they're getting more value out of Dropbox and we’re more deeply embedded into the workflow. So the kinds of things that we look at when we're trying to surface integrations we want to be managing the number of teams that use at least one integration with a partner like Slack or spelunker salesforce. We want to - we look at the number of teams that have more of than one integration and then we look at the integrations with applications that are most correlated with retention upsell, so some applications have a very high correlation with retention enough so. And then we’re now starting to be more aggressive about surfacing those integrations to our teams. So that if a given partner happens to be driving value for a certain segment of our users, we want more users to know about that. So we're not for the most part focused on directly selling, we're focused more on adding value to the user base and indirectly monetizing that way.
Alex Zukin: And then maybe just a point of clarification for Roger, any comment with respect to the trends around ARPU growth from a seasonality perspective, you mentioned some of the comments in the call, but just anything that would kind of help us all for modeling purposes?
Drew Houston: I think at a high level our strategy is to continue to drive revenue growth both through paying user growth and conversion as well as ARPU expansion. And I would think of that really in any given quarter one of these levers may outpace the other spending on the initiatives that we're deploying in that period. And there are some factors that can influence ARPU in the short-term. And so these are things like things like monthly and annual subscriber mix depending on the experimentation and the initiatives that we're working on plan mix and pricing on larger deals as well as FX. But I would say over the long term, Alex, we are focused on driving ARPU expansion and expect to drive more expansion over time.
Operator: Our next question comes from Karl Keirstead with Deutsche Bank.
Karl Keirstead: Thanks very much so may be two for Ajay. Ajay, the 9% to 10% operating margin guide for 2Q and for the full year 2018 are higher than we were modeling. I just want to clarify is that due entirely to this change in useful life to the hardware and maybe as well due to the revenue upside? And then I've got a follow up. Thanks.
Ajay Vashee: Great to hear from you, Karl, and thank you for the question. And yes, you're right. So, the primary driver of the REITs on operating margins are the guidance rather than ever giving on operating margin as a percentage of revenue is driven by the expansion of gross margins and that gross margin expansion. I'll just reiterate for one moment is driven partially by a change in useful life and that change in useful life was a result of us getting more and more efficient with their infrastructure efforts and partially by a reduction in unit costs for certain hardware and higher utilization efficiency. So, just overall higher efficiency at the cost of sales level and then higher revenue growth and that was the flow through down to operating income.
Karl Keirstead: And then maybe Ajay a second one, just a nit here but just in terms of FX impact, you did it flag out earlier that maybe billings got a bit of an FX tailwind. I'm wondering if you could quantify what the FX tailwind was for both billings and assuming revenues as well, what was there?
Ajay Vashee: So for revenue in any given period, so quarter over quarter, FX has a relatively modest and marginal impact on revenue. And that's really because we enter any given period with a whole lot of deferred revenue on our books that we recognized in that period. And that deferred revenue was generated over the prior 12 months or so and as it pertains to billings, there was a bit of a tailwind in Q1 from FX and that flows through the operating cash flow and that was again, not a really meaningful number, but in the single digits millions.
Operator: Our next question comes from Justin Post with Merrill Lynch.
Justin Post: I know one of the initiatives of the company is to move up to team sales. Just wondering how you're thinking about enterprise sales force and whether you might accelerate hiring there? And then, on the CapEx versus the capital leases. Maybe talk about why you choose to use capital leases? What are the advantages to the company and how you think about the cash flow around those? Thank you.
Dennis Woodside: Maybe I'll take the first the part on enterprise. So, remember 90% of our revenue comes from self-serve customers. Customers who already - for the most part are already basic users and they're responding to a product prompt or to an e-mail or to in-product messaging to learn more about our pay plans, and then, decide to pay us. So, that does not - those sales do not involve a traditional sales force and that's why our sales and marketing efficiency is considerably higher than many of our peers and others in SaaS. Nearly all of our outbound sales are made to organizations that already have meaningful paid deployment. We have a mix of teams. If you recall, the example from the Japanese advertising company, there were 16 seats purchased a couple of years ago, completely self-served and organizations typically will self-serve up to as many as 100 or a couple of 100 seats before we will have a sales person call into the account. And then, as I was saying in my remarks that machine learning and data science to really target that sales force on the highest potential prospects and as well as the people within the organization who have fine authority which might be an IT that might not. So you think of our outbound sales force, they're not in every case going for the 10,000 seat deal, right up of the bed. They're typically getting small bites of usage within larger organizations over a period of time. We have accounts that have gone from 20 seats to 30,000 seats over a period 18 months but they did that in many, many transactions. So we will continue to expand the outbound sales team but that sales teams - the leads are fed primarily from the self-serve business. And we see opportunity on both sides.
Drew Houston: I just want to echo with some of what Dennis said. It’s entirely - somewhat of the unique elements of our model. So success for us is not about or not just about hiring a huge enterprise sales force which would be the conventional approach because of our self-serve model which has always been [indiscernible] is another great example of that. But on top of that, we also have this viral and premium element which drives scale and efficiency and is pretty unique. And then as Dennis said we are able to have a targeted sales force that where we like to say that we start that enterprise sales cycle marathon on mile 20 because there's already adoption in the company and with the sales force is a lot more leveraged. So add it all up and it's much more efficient scale the model.
Ajay Vashee: I’ll jump in on the question on capital leases and thank you for the question. So the high level update there is that in the last quarter we added $25.5 million to our capital lease funds and we made close to $30 million in payments against our capital lease obligations. And as a result, our ending capital lease balance was $170 million in Q1 and that was down about $4.3 million from Q4 and at a high level while there may be some variances within a given quarter and between quarters, we expect to generally maintain our outstanding capital lease balance over the long term as capital lease repayments will roughly offset capital lease additions. And to your question on how we choose to buy equipment versus leverage the capital lease, we receive favorable financing terms on our capital leases and we believe that for a portion of our infrastructure hardware that they better match our capital investments with our cash inflows and so that's why we leverage them. And we, of course, continue to evaluate our capital allocation strategy on an ongoing basis.
Operator: Our next call comes from Mark Mahaney with RBC Capital Market.
Mark Mahaney: Two questions please. You added about 500,000 net new paying customers in the quarter. Any color on where they came from? Did they come from, are they similar to the previous net customer adds that paid customers adds? And secondly, you did start this brand advertising campaign in the March quarter, can you talk about learnings from that? And do you plan to continue it, scale it up or scale it down? Thank you.
Drew Houston: I can start with a question on paying users now. I'll pass it over to Dennis, but, yes, Mark, to answer your question the mix was relatively similar. And so, the primary driver of that paying user growth was conversions to both our individual and team plans. And then we continue to drive growth with team expansion as well but that was a secondary driver in the quarter. I’ll turn it over to Dennis.
Dennis Woodside: So, thanks for the question. On brand, so we launched our brand campaign in Q4 of last year and that continued into Q1. And what we're trying to do many people know Dropbox as an individual user, they may not be familiar with the value that we can bring in a business setting. So, the campaign was all about how we can unleash creative energy, particularly in organizations that are doing amazing things. We are trying to drive awareness, consideration and intent for a couple of select audiences, particularly organizations that have large marketing design and sales teams and we're seeing pretty good uplift from that. We expect to continue to invest in our brand over time, we think our brand is actually one of our key strengths. So, expect to see more brand work from us over the course of the rest of the year.
Operator: Our next question comes from Greg McDowell with JMP Securities.
Greg McDowell: One for Drew and one for Dennis. Drew I first want to specifically ask about the Dropbox custom-built global infrastructure. Certainly, modes have been a theme on some recent high profile earnings calls. I just want to ask you what that infrastructure has done for the business in the past, what we should expect in the short term and how this helps Dropbox in the long term having your own global infrastructure? And one quick follow-up for Dennis.
Drew Houston: So, we're really proud of our infrastructure and it's been a huge investment that's paid off for us in many ways. And the most obvious place - the most obvious return has been in the financials, right, the margin expansion we've driven over the last couple of years has - a big part of that has been due to the efficiency we've been able to drive by operating and building our infrastructure. And so, and certainly a sustaining cost advantage that we continue to drive because we're able to ride the cost curves down directly. But then also we are able to tune our infrastructure for a specific workload. So an example of that is most of the time when you're using Dropbox, you're looking at some document from the last couple days, not something from five years ago. So being a separately hot and cold storage isn't a example of something that we can do or we can tune to a much greater degree than you can do with the public cloud, although they give you some tuning to that effect as well. But when you look at it more from a 10-year timeline, we see big opportunities to improve the experience, the core product experience and drive improvements and performance. And as compute becomes more of our a bigger part of our workload and as machine intelligence becomes a more important part of our workload, then having that flexibility to control every layer of the stack is a big advantage and we think it's similar to what other tech companies have done or Apple obsess is over vertical integration and getting and benefit a lot by being able to customize every element are the ingredient to that experience. I don't know if I would draw the comparison like that directly but that's certainly some, that flexibility and performance and ability to customize to our workload is something that we see as a bigger and bigger asset over time.
Greg McDowell: And Dennis, one quick one for you. I don't think we've talked too much about the international expansion opportunity. Yeah, so I was just hoping you to give a little color, I know you guys already have a very large international business but anything you're seeing there, any new initiatives there to target international and companies that have a propensity to buy in international market? Thanks.
Dennis Woodside: So, yes, international is a big opportunity for us. We already have - close to half of our revenue coming from outside the United States and we see significant growth in the markets that you would expect or are starting to really come on strong in cloud. So think about Western Europe, the U.K. out of the Nordics in particular Germany, we're seeing quite a bit of strength in Japan and Australia as well. I’m actually heading to Japan next week and we have over the last couple of years put teams on the ground in all those places except for the Nordics. But we can serve all of the Europe from our hub in Dublin because most of our revenue still comes through that self-serve motion we don't need to have people in every country. We do invest in teams where we see an outbound opportunity and we're starting to see significant traction in those markets that I described and it's really the benefits of this viral approach to growth where we have hundreds and of millions of users who are familiar with Dropbox, they're bringing us into the workplace all around the world. That's a global trend, that's really just getting started in some parts of the world so we think that that will be a source of growth for us for a long time to come.
Operator: Our next question comes from Richard Davis with Canaccord.
Richard Davis: So one of the questions that I wonder is this how far away are we from Dropbox kind of deploying and you kind of a little bit touched on it but deploying kind of AI that deliver you know relevant content to users either proactively or at least on demand. So basically what I'm thinking is to what extent could a Dropbox actually enable organizations to realize the promise that you probably remember never arrived from those Knowledge Management System back in the early 2000s. So it feels like you could do that. So that's what my question is. Thanks.
Drew Houston: We’re really excited about machine intelligence and we see that capability growing and growing over time. And so today, that's already an area where we invest as I mentioned things like search. There are a lot different signals that go into relevance and we have a great team tuning that and helping people find what they're looking for. And over time, again the way I think about it is just like the thing about the verbs or the tasks that we all have to do and instead of - in a world where today you have to do a lot of filing things away or get inundated by stuff you don't want and then struggle to find the stuff that you do want, machine learning is going to be the antidote to that. And so, I mentioned search, but then as we have added more activity feeds to our - to the Dropbox experience and made that more part of our core home experience, helping surface what's relevant. We get a lot of benefit both from the data we have in Dropbox as I said. But then also just the scale of our user base, so that that feedback loop is tightened a lot faster and more effectively because of the scale we're operating. But we want to get to a world where you open up your laptop or your phone and only the important stuff shows up. And so, we think a lot about how do we design a calmer and more organized and much more effective working environment. And how do we make the experience of using technology at work a lot more seamless.
Richard Davis: Can you peer into the documents yet or is that too hard to do, in other words the tagged stuff inside the documents looking just the title?
Drew Houston: In search, we have full text search and there is a lot of possibility to auto organize things for people and so in new products like Dropbox paper. All of that content lives in Dropbox and is indexed just as the files are. And so, for sure, we can - we use not just the Metadata, but when people are actively searching for something, we can look in the file contents as well.
Operator: Our next question comes from Sarah Hindlian with Macquarie.
Sarah Hindlian: I’ll add my congratulations on your inaugural quarter. A question first for you, Drew, and then, I have a follow-up for Dennis as well, and I apologize if you hit on any of these. Maybe we can go into them in a little bit more detail, but free cash flow was really strong in this period and the balance sheet, it looks like it's an outstanding shape. So one thing I would love to hear from you Drew is, how you’re thinking about your strategic priorities, and what you’re really ranking in terms of areas you are particularly interested in on the platform today?
Drew Houston: So, as you alluded to, some of the good news is that we have been cash positive for long time and so we didn’t need to go public to raise money. And so, certainly it was a good thing to have a healthy balance sheet but we can be opportunistic. So we’ll use the proceeds to continue investing in growth and the product portfolio generally against the dimensions I talked about. And all I think are improving the core product experience, moving into adjacent categories and doing more for our users, tuning our product with convergent engine, and machine learning and our infrastructure.
Sarah Hindlian: And just a follow-up for you Dennis. I know you talked a little bit today in particular on all the efforts going on, on the business side. And I think it's really astonishing to us as we do more work around the company, you know, we generally think of a competitor of yours that somebody that really specializes in some regulated industries like healthcare, finance more astonished by the number of individuals, let's say for example, medical professionals that are using Dropbox. So then if I guess, as I look out at the landscape, I'm wondering when and if and where you feel the need or if you even do feel the need to focus on any sort of vertical specific strategy as you reverse line these users into the team product or if you just stall ways away from that?
Dennis Woodside: So today we have Dropbox business deployments in about half of the Fortune 500, so we've got pretty broad footprint already. And we have paying users in over 90% of them. So we have - we already have a foothold in most major industries, the industries that we do SKU well in today include media, technology, manufacturing, construction, any industry where there's a large sales force or remote workforce or people managing design files. Now that said, the regulated industries like you said, we see plenty of doctors, people in financial institutions that are choosing to use Dropbox, because the tools that they're being provided just simply don't work for what they're trying to do and often physicians or researchers in particular are collaborating around very, very large file. So we have a number of very large research institutions one medium size one that we referred to at our roadshows Gladstone Industries, they use Dropbox as their system of record and Dropbox is fully integrated and how they're doing research. We have organizations in financial services in insurance who are using Dropbox to process help process auto claims for example by taking records on site of auto accidents and so forth. So it's not, we don't purposely set out to go after those industries but where we see signals, where we have usage, where we have paid usage. We certainly will have a sales rep call, and most of that usage actually is just coming to us through our self-serve engine.
Operator: Ladies and gentlemen, we do have time for one final question and that will come from Rob Owens with KeyBanc Capital Markets.
Rob Owens: I guess, my question really revolves around the total base of users and I don’t know, if you disclose it or not, but given some of the brand campaigns and the marketing awareness that you’re spending on generating, was the strength in paid users are a function of incremental convert - increased conversion rates, are you seeing roughly the same conversion rates on a larger base at this point?
Drew Houston: We continue to grow that the top of the funnel even though we don’t fixate on our registered user number, but we certainly want everybody to have an understanding of the scale, we’re operating. And so, first of we get conversions both from those - from folks that join in the last year or have joined recently, but we also spent a lot of time thinking about the hundreds of millions of monetizable users that we already have because we already have - we see ourselves already having reached or registered a meaningful portion of the knowledge workers are our target audience or knowledge workers on the planet, really. And so we focus on certainly top of funnel as part of it, but we also think about how do we take more of those users and bring them along the journey faster and more effectively from free use to maybe an individual plan to a business plan to self-serve business plan and a lot of all deployment.
Dennis Woodside: And I would just add to that Rob briefly, it’s really reflective of growth across our revenue channels, as you mentioned, so conversions, upgrades, expansions within companies. Also business trials, direct to paying that down.
Rob Owens: But more of the revenue growth at this point is coming from incremental paid users and it is from ARPU. So is there a pivot point there that is going to be more ARPU driven, is that what I'm to understand or more of the same moving forward based on your commentary?
Drew Houston: So both levers will be important to us moving forward, both paying user growth and ARPU growth, but I would view paying user growth as continuing to be the primary driver of revenue growth for the company.
Drew Houston: All right. So thanks again everyone for joining us today. We really appreciate your support and look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect and have a wonderful day.